Operator: Good day, ladies and gentlemen. And welcome to the Denbury’s Second Quarter 2022 Results Conference Call. My name is [Technical Difficulty] your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to your host for today's call, Brad Whitmarsh, Head of Investor Relations. Please proceed, sir.
Brad Whitmarsh: Good morning, everyone and thank you for joining us today. I hope you've had a chance to review our news releases this morning and the supplemental materials that are available on our website at denbury.com. I want to remind everyone that today's call will include forward-looking statements that are based on our best and most reasonable information. There are numerous factors that could cause actual results to differ materially from what is discussed on today's call. You can read our full disclosures on forward-looking statements and the Risk Factors associated with our business in the slides accompanying today's presentation, our most recent SEC filings and today's news release. Also, please note that during the course of today's call, we may reference certain non-GAAP measures. Reconciliation and disclosure relative to those measures are provided in today's earnings release as well. This morning, our prepared comments will come from Chris Kendall, President and CEO; Mark Allen, CFO; David Sheppard, COO; and Nik Wood, SVP of Carbon Solutions. Our prepared comments should go around 20 minutes and then we’ll follow-up with Q&A. With that, I'll turn the call to Chris.
Chris Kendall: Thanks Brad. Good morning, and thank you for joining us on today's call. Last quarter, I highlighted how dynamic the beginning of the year had been both in terms of the macro environment, as well as specifically for Denbury. These dynamics became even more pronounced through the second quarter. The combination of multiyear highs in oil and gas prices, tight physical oil markets, continued supply chain disruptions, and inflation at levels not experienced in the past 40-years presents meaningful challenges for any company to navigate. Despite all of the business challenges, our teams at Denbury have done an amazing job both in executing our plans and also in mitigating the impact of those matters out of our control. As a result of their efforts, we are on a solid path to achieve every one of the goals we established to start the year. Our second quarter results highlight the strength of our business. With high commodity prices and solid production, we generated more than enough cash flow to fund investments in our oil business and CCUS development, pay off our remaining debt and initiate a share buyback program. Considering the company's continued strong cash flow outlook, and our confidence in our strategy, our Board recently authorized $100 million increase to the buyback program, replenishing our availability level to $250 million. I'm extremely proud of our technical and project execution and David will share more on the results we are seeing with success in multiple projects from valuable opportunities in our existing fields to the Greenfield CCA EOR project. This operational execution is anticipated to deliver strong production growth in the fourth quarter of this year and I'm certainly excited to see the impact on our business next year with CCA. In our EOR operations, we are on track to inject more industrial sourced CO2 this year than ever in our history. In fact, at our current rate of over 4 million tons per year, we will inject the equivalent of missions of 1 million hours, a remarkable milestone that underscores the incredible decarbonizing potential of this business, while producing the energy our world dearly needs. Our Carbon Solutions team continued to make great progress and Nik will provide more color later in the call. Executing upon our vision of building a broad sequestration network, leveraging Denbury’s currently operating CO2 pipeline system, the largest in the United States, will result in a one of a kind sequestration system with superior scale, flexibility and reliability. We're also closely watching the new congressional proposal to substantially increase 45-Q CCUS tax credits. The proposed 70% increase would drive a significant step change in carbon capture in the U.S. Multiple new industries would be incentivized to capture their emissions, including cement and steel manufacturers and even some gas fired power generators, while our focus remains on the incredible business opportunity available under the current 45-Q credit levels, we are optimistic that CCUS policy incentives either under this proposal or otherwise in the future will continue to increase to levels that put this country on a path to making a meaningful difference in carbon emissions. Denbury is a highly valuable and unique company. The EOR focused oil business on its own is an attractive long lived asset, which will be further enhanced by the startup of the largest EOR flood in our history at CCA. Looking to the near future, Denbury’s assets and collective skill sets are a perfect fit to lead in CCUS, which now has the necessary public policy support to incentivize rapid development of capture projects. We are extremely excited about the future. And now I'll turn the call over to Mark.
Mark Allen: Thanks, Chris, and good morning, everyone. Today, I will touch briefly on Denbury's second quarter financial results and guidance. Denbury’s second quarter results were bolstered by robust oil prices and stable production, which drove recent quarterly highs in revenues, net income, operating cash flow and per barrel margins. Across the board, second quarter performance was generally in line with our expectations and consensus, including sales volumes and most cost items. Although certain costs are increasing due to inflationary pressures, which David will cover in more detail. Our cash margin for the second quarter on a pre-hedge basis expanded 22% to more than $61 per barrel. Operating cash flow for the quarter was $115 million or $145 million before working capital changes significantly higher than our $90 million of capital investments for the quarter. Year-to-date, we generated free cash flow of $106 million before working capital changes, ending the second quarter with no debt. During the second quarter, we announced a $250 million share repurchase program, and I'm pleased to report that through July, we utilized $100 million to repurchase 3.2% of our shares outstanding. In addition, the Board recently authorized another $100 million of share repurchases, so we currently have $250 million available under our program, representing an incremental 7% of shares outstanding at the company's recent share price. In addition to maintaining a top tier balance sheet, our priorities on capital allocation remain consistent with what we have stated previously. We want to allocate capital to maintain our base oil operations and develop our significant EOR resource at CCA providing near-term production and incremental reserves. We also want to fully fund our growth capital needs of the CCUS business, which we expect to grow over the next several years as we build out CO2 storage sites and expand our pipeline infrastructure. As strong oil prices provide additional cash flow beyond our anticipated near-term needs, we plan to return capital to our shareholders. On the guidance front, one item we highlighted last quarter was the reversal of the valuation allowance on our deferred tax assets over the course of 2022, resulting in an expected tax rate of approximately 15% instead of our 25% statutory tax rate. We also previously guided that cash taxes could represent around 30% of our total taxes. However, with our forecast changes in capital and other items, we currently expect cash taxes will be 15% to 20% of our total taxes. You can find additional information on our outlook and guidance in our most recent slide presentation on our website. As I turn it over to David, I want to emphasize that our strong financial position gives us great confidence in our ability to execute our long-term strategy. Not only do we have a business that is generating significant free cash flow today, but we have great optionality for funding our growing CCUS business over the next several years. David?
David Sheppard: Thanks, Mark, and good morning, everyone. It is an exciting time at Bembury and as you can see from our second quarter results, our operating teams continued to perform very well. Before I jump into some key operating results, I would like to begin by reaffirming our commitment to safety. This past quarter, we concluded our 5th Annual HSE Roadshow where we engage in various environmental, safety and culture topics with all of our field teams. We continue to track at an exceptionally low total recordable incident rate and I strongly believe this impressive result is due to Denbury's commitment of holding safety as a fundamental tenant of our company culture. Second quarter production volumes were as anticipated. Production in the Gulf Coast was slightly lower than the first quarter primarily due to compression downtime and well repair activities. The Rocky Mountain region saw an increase in sales volumes from the first quarter due to development workover activities primarily at Beaver Creek and CCA. Also our greenfield located in Wyoming has begun to materially respond to CO2 flooding and is currently producing over 1,200 gross BOE per day up from 400 BOE per day at the beginning of the year. Looking forward, we expect total company production to remain relatively flat in the third quarter and to increase significantly in the fourth quarter as we see production response from our 2022 capital program. Moving on to cost, our LOE per BOE was higher in the second quarter as a result of service cost inflation and the significant quarterly increases in crude oil and natural gas prices, which directly affect our power and fuel and CO2 expenses. Also workover expense was up in the quarter as we made elected decisions to run additional rigs to return wells to production in the higher commodity price environment. For these reasons, we are slightly raising our annual unit LOE guidance to $28 to $30 per BOE with the third quarter being the highest for the year. On the capital project side, starting with our large CCA EOR project, Phase 1 continues to progress extremely well. As mentioned in previous calls, first injection commenced on February 1st, and injection rates ramped up in the second quarter. Average well injection rates have been in the higher range of our projections, so we believe that we may see limited production response earlier than planned in areas where injection rates have been the highest. We still anticipate the material forecast of response will begin in the second half of 2023. With this in mind and to mitigate supply chain delivery concerns, we are working to accelerate the construction of our recycle and compression facilities. This acceleration will move components of our planned 2023 and 2024 capital into 2022 and 2023. To say I'm excited about the impact CCA will have on Denbury is an understatement. It's the largest EOR resource we've ever worked on. It's fully carbon negative and the asset will grow our production base when Phase 1 ramps to full rate. Furthermore, the value of the CCA EOR development is yet to be realized in the company reserve valuation as no reserve bookings have occurred to-date. The operational teams did a phenomenal job executing multiple capital projects across our asset base in the second quarter. We continue to progress our Beaver Creek EF reservoir development recompleting seven wells in the quarter. We drilled and completed three wells at Heidelberg and our Soso Rodessa reservoir development project is showing strong additional oil production. Activity levels are expected to increase even further than the third quarter, primarily driven by our drilling and workover activity program. In the Gulf Coast, we have development drilling ongoing at Cranfield plus several new drill horizontal wells planned in the Webster field. In the Rocky Mountain region, we plan to drill additional horizontal wells targeting our holly successful Mission Canyon and Charles intervals at CCA. In addition, we are focusing efforts on our asset retirement program and our most mature Gulf Coast assets. So far this year, we have plugged an abandoned 38 wells with zero recordable incidents. Based on our outlook for the remainder of the year, we are raising our full-year oil and gas capital guidance to $360 million, approximately half of this $40 million increase is due to cost inflation. The remaining portion is for the acceleration of our CCA recycle and compression facilities that I mentioned earlier. Our teams have been doing a great job proactively securing equipment, materials and services to ensure we have what we need when and where we needed, while managing the impacts of inflation on our business. Despite these efforts, we have seen some modest delays in the timing of our activities for this year. Accordingly, we now expect 3Q production to be consistent with 2Q followed by meaningful ramp up in the fourth quarter. Wrapping up, I want to finish with saying how pleased I am with the performance of our assets, but even more so, the execution by our teams. We are strengthening the foundation on which Denbury stands. I'll now hand it over to Nick for an update on the Carbon Solutions business.
Nik Wood: Thanks, David. It's great to be on the call today to share the Carbon Solutions team's exciting progress. As a reminder, we've established two significant goals for our Carbon Solutions team this year. First is to secure transportation and storage agreements with industrial customers totaling more than 2 million tons per year. And second is to develop access to more than 1.2 billion tons of potential CO2 sequestration capacity. We have already exceeded our sequestration capacity goal and we continue to work with many industrial customers on transportation and storage agreements. With our recently announced additional storage site near Donaldsonville, Louisiana, our total storage potential is now approximately 1.5 billion tons across the Gulf Coast, including sites in Texas, Louisiana and Alabama. This new site is less than five miles from our green pipeline, and is estimated to have at least 80 million tons of storage potential. In the Donaldsonville area, which is a central hub of low cost of capture emissions, we now have 300 million tons of storage capacity and can provide sites on both sides of the Mississippi River. We continue to evaluate other potential sequestration sites across our pipeline infrastructure and plan to add more sites over time. Adding strategically located storage sites across our pipeline system will allow us to maximize the capacity of our pipeline network, providing the capability to move volumes on and off of our pipeline system across shorter distances. This will provide the most economic, reliable and flexible solution for our industrial customers anywhere on the system. For 2022, we guide to spend $50 million of capital for CCUS, primarily to support our early stages of building out our storage portfolio. Depending upon the pace of our preparations for classic storage and our progress in reaching additional storage agreements in the coming months, we may exceed our previous guidance. Also, we continue to evaluate interesting opportunities to invest in the CCUS value chain outside of CO2 transportation and storage. Seismic imaging and stratigraphic test wells are important elements needed for our EPA Class VI injection permit process this. We have already purchased Seismic for all of our operated storage sites and we plan to drill at least one and hopefully two stratigraphic test wells later in the year. Based on our progress to-date, I am confident that we will have plastic storage ready in 2025. CCUS is acknowledged worldwide as one of the cornerstone solutions to reaching world decarbonization goals. Given this landscape, our discussions and negotiations with industrial partners remain active and dynamic. Today, we are in various stages of negotiations on more than 50 million tons of CO2 per year and our opportunities to continue to expand both on greenfield and brownfield projects. This year, we made the goal of reaching a tune of 10 million tons per year of signed off take agreements and we currently stand at 7 million tons per year. I feel very good about exceeding our 2022 targets for transportation and storage agreements. To close with our highly skilled technical staff, our strategically located store sites and expenses CO2 pipeline network, I believe Denbury is optimally positioned to lead the way in CCUS. I will now hand it back to Brad.
Brad Whitmarsh: Before turning it over for questions, I wanted to highlight that we recently published our 2022 corporate responsibility report, which is available on our website. I hope you'll take the time to read through it as corporate responsibility and sustainability are vital elements of Denbury's overall business strategy. Operator, we are ready for questions.
Operator: Thank you, sir. We would now begin the Q&A session of today's call. Our first question comes in from the line of one Michael Scialla with Stifel. Michael, your line is now open.
Michael Scialla: Yes. Good morning, guys. Chris, you mentioned the new congressional proposal, if that is approved, I want to see if you expect all that incremental value to go to emitters or can Denbury capture some of that? And have you seen any uptick in interest from potential customers? I guess particularly any of the higher cost customers, since the announcement on that act?
Chris Kendall: Hey Mike, good morning. Yes, good question. And of course, we've been watching that closely and it's essentially the Catch Act was rolled into this package that's being considered right now and we'll see whether it passes or not. From this side we feel pretty optimistic about it just from what we're hearing so far. And certainly, to us it's needed when you think about just in the country wanting to make a big difference in our decarbonization, this is the path to get there. And finally, you have something that gets the credit up into a level that can really start to get into cement and steel and natural gas power among many others. So we're excited about that. And then really to your question, where does this go for Denbury? I mean, number one, I think that you will see a lot of new industry coming in and just the total market getting much bigger. The numbers we've looked at -- look somewhere around 4 times what we've seen with the current 45Q, so we’re excited about that. And then to your question, just where does those dollars go? There is -- to me, the big win is that you incentivize the additional capture. But secondarily, there is a bigger pie and I think that with what I've seen in the contract structures that we've put together so far that there is upside to us there that makes our business just that much better. So overall, we're very excited about it and we'll watch and see how this bill does in the next few days, I think we'll see some progress here.
Michael Scialla: Good. And Nick, you said that the budget, the $50 million budget for CCUS this year. There's some potential to exceed that, I'm just wondering if you could quantify that? Are you thinking by a couple of million or is it tens of millions? And I guess what's in the budget? What's not? What would push it higher? Is it more agreements would push it higher? Or would it be more testing of your sequestration sites? Just trying to get a better sense of what that entails?
Nik Wood: Sure, Mike. So if you look at our current budget, our budget is mostly around our storage acquisition in the front-end technology that we're going to employ to verify the containment for our store sites. As we look out for the remainder of the year, we have a great opportunity to accelerate some of that technical work. And we also have a great opportunity to add to our storage portfolio. So we see an opportunity to add a pretty healthy amount of capital out in the second half of the year.
Chris Kendall: Yes. And I guess, Mike, would I just add to that, the kind of things that could come in the remainder of the year to me it's -- if we do spend more, it will be because we've had more success. As we build out this broad infrastructure that will have storage at all of the right places and make the emitters trips for their captured CO2 as short as possible and as reliable as possible, that's a win. And so moving forward with that, if we are successful in everything that we're working towards, we would bump up. I mean, it's not above $100 million, it's something that could move us up more than a couple as you mentioned. And then the other part to it is we're working hard towards getting to a point where we can drill stratographic test wells in these sites. And so with each one of those costing a few million, you can imagine success in that and availability of rigs in this environment could also influence how that works out. But overall, I see if it goes up a bit, it's just a sign that the business is succeeding in an even greater way than we had budgeted at the start of the year.
Michael Scialla: That's helpful guys. Appreciate the answers.
Operator: Thank you for your question. Our next question comes from the line of one Doug Leggate with Bank of America. Doug, your line is now open.
David Fernandez: Hello. This is actually David Fernandez in for Doug here. Wanted to ask like we've seen the consistent progress on the CO2 side, can you help us understand how the -- that portfolio will be constructed, will it be all tolling or are you interested in equity portion? If so, what is your appetite to fund emissions capture for off takers? And are you thinking about it any differently in light of the potential changes to 45Q?
Chris Kendall: Sure thing, David. And the way I think about it is that certainly the bread and butter space for us for most of the industrial customers that we're talking to is around a tolling type of transportation and storage combination. And so that's -- I'd say that's predominant. But along the way to your point, and depending on the industrial customer, we are looking at a whole range and negotiating entire ranges of how we can approach this. On one end of the spectrum, we may provide everything where we partner with a company that can bring the capture equipment technology into the site -- in the plant site and provide that as a combination that really reduces the exposure to the tax credit for the industry, but takes care of their emissions and helps them decarbonize along the way, so that's one aspect and we are seeing that in several cases. And then I think what we'll be doing to your point on this new potential legislation here is we'll look at how that works out and just where we can provide the best service to all of the industrial emitters that are out there to help grow this business and help them solve their emissions reduction problem really and do that in a way that makes sense for each of them.
David Fernandez: Got it. Got it. No, that makes a lot of sense. Thank you for that. And my follow-up is just on the actual proposed changes, there's a hurdle rate, I guess, in terms of getting the total benefit of the credits in terms of getting that 5 times multiplier enacted and a lot of that is related to labor and wage requirements. Like how do you assess that hurdle rate for the industry? I mean, is it -- would you say it's a fairly low bar? It's something that can -- shouldn't pose much of a risk to getting those credits or that upside?
Chris Kendall: You bet, David. And I'm going to ask Matt Dahan, our SVP of Business Development Technology, who also leads our government relations team to answer that question. He's been neck deep in this for several weeks now.
Matthew Dahan: Yes, David. Real quick, the hurdle rates to get the 5x multipliers on the credits, include prevailing wage requirements for the facility that's being built to capture the CO2, some apprenticeship stuff in there as well and then ultimately some U.S. content, particularly on steel. So those hurdles do they add additional costs? Probably a little bit upfront on paying prevailing wage and steel supply in the U.S. I'm not sure that's really any increment above any other steel. So in aggregate not that big of an impact to the projects. They do have to wait for the Secretary of Treasury to basically set the guidelines. I think they have 60-days after the bill passes to do that.
Chris Kendall: And David, what I'd add to that is just as an example, we actually use that prevailing wage provision in the pipeline project that we just completed up in Montana.
David Fernandez: Okay. Got you. That's super helpful. Awesome. Well, thank you guys very much. I really appreciate the time.
Chris Kendall: Thanks, David.
Operator: Thank you for your question, sir. Our next question is a follow-up from the line of Michael Scialla with Stifel. Michael, your line is once again open.
Michael Scialla: Yes. Looking at the slide deck you highlighted some of the non-tertiary wells. And David, I think mentioned some as well, that I think you have planned for the second half waterflood at Kevin Creek and Mission Canyon well at CCA and I think there is several 30 wells you plan to Webster. I'm just wondering if -- is all that incremental or is that incremental activity resulting from higher oil prices or were those things always part of the ’22 plan?
David Sheppard: Hey, Mike, this is David Sheppard. Yes, thanks for the question. Yes, no, though I'm super excited about all those off opportunities coming into the mix. Here, we're definitely have drilling rig in a plus all the tangible secured to go execute all of those projects that you just referenced there. I will say that they are not incremental, they've been in the budget plan at the beginning of the year here. So they're part of that planned fourth quarter ramp up, and which I'm excited to see is going to make for a really great exit rate for the year and entry rate into 2023.
Chris Kendall: Yes. And Mike, just one thing I'd add to that is between the Mission Canyon, Charles up north and then Webster, down in Texas. These are all plays, as you've seen, we've already drilled multiple wells in them and had good success. So we're threading a needle with some of the wells that we drill, but the team has been exceptionally good at that. So like David said, I'm looking forward to seeing what this does for us here in the fourth quarter.
Michael Scialla: Good. And then any chance I can get you guys quantify that meaningful production ramp in the fourth quarter? Are you thinking north of 50,000 BOE a day or what kind of ramp are you talking about?
Chris Kendall: Yes. I don't think that we're at a point where we quantify that specific yet Mike, but it is to a level that we still feel very good about the guidance that we've put out here earlier in the year and have left as is for this quarter.
Michael Scialla: Yes, got it. Thank you, guys.
Chris Kendall: Thanks, Mike.
Operator: Thank you for your questions, sir. There are no other questions queued up at this time. So now I would like to pass the conference back over to our host, Mr. Brad Whitmarsh.
Brad Whitmarsh: Yes. Thanks again to everybody for joining us on the call today. Beth and I are looking forward to talking with many of you over the next several days and hopefully we'll see you on the road here in the coming weeks. Hope you have a great day and a great rest of your summer.
Operator: That concludes the Denbury second quarter 2022 results conference call. Thank you for your time. You may now disconnect your lines.